Operator: Good day, ladies and gentlemen, and welcome to Centamin's Half Year 2024 Results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session through the phone lines and instructions will follow at that time. I would like to remind all participants that this call is being recorded. I will now hand over to Martin Horgan, CEO. Please go ahead.
Martin Horgan: Thank you very much, and good morning everybody and welcome. As it was mentioned to our half year results centered in the July 2024. As mentioned Martin Horgan, CEO. I'm delighted to be joined today by my colleagues; Ross Jerrard, our CFO; and Michael Stoner, Head of Corporates. Moving on to the next slide. Thank you, Rich. The standard disclaimer, which I'm sure everybody will read at their leisure and then moving off to the first slide please. So our pump insulated pipeline definitely that we show at the start of every presentation, just indicating of course we do believe that we have an organic growth pipeline driven by the success of Sukari, the de-merge at Doropo, excitedly EDX and across the emerging potential of ABC as well. So as I say I think it was a pretty good second quarter and hence a first half of the year right across that portfolio and puts us in a very solid position as we head into H2 by focusing on delivering both ounces and cost we've been able to take advantage of those strong gold prices at Sukari. At Doropo delighted with the progress there. I think in three financial years we've taken an exploration project. I'm delighted to say that during the first half of the year we've been able to not only get the assay approved, but release what I believe is a robust feasibility study for that project that really allows us to think about taking that project forward to the next stage that as time to leverage that model of a diversified multi-asset gold producer platform. At EDX, our exploration projects in Egypt, we've been busy with an aggressive follower campaign to some of the success that we announced back in January around the additional discoveries at Little Sukari and Umm Majal, which I'll come to that later on. In ABC there has been some renewed interest there. We've done a revaluation of the projects. I’m delighted to say that some new drill targets have emerged. We will look to evaluate those starting in the dry season later this year as well, so some emerging potential of ABC project as well. So I think in terms of that first half of the year excellent progress, right across our portfolio as we continue on that journey as I say to a more simple and those core assets multi-jurisdictional producer. And we wanted to mention as well during the first half of the year in terms of internal promotions, delighted to say that we now have a Chief Operating Officer again in terms of the business. As we look at Doropo, as we look at EDX, as we look at projects at Sukari, I felt it was time that we also brought the COO now to start helping us to plan to deliver this growth that we are demonstrating, I’m delighted that Gustav du Toit Costa who was formerly the General Manager of Sukari has now stepped up to become the COO, and even more pleasing as well that in terms of filling the positions that we've looked at our internal pipeline of management talent and availability and guys that say our Deputy General Manager, Gavin Harris has become General Manager of Sukari. I'm delighted that Islam Alashker who is our Process Manager long-standing due to employee has been made Deputy Manager as General Manager for Sukari as well. So I think that really just starts to evidence the intent to do the business to take this company forward. I’m delighted with the talent pool available in the business. And as it turned promotions as we start to look to leverage the full potential of that portfolio. Next slide please, Richard. So, maybe just looking at a first half performance at Sukari. I think after a slightly softer Q1, I'm delighted to say that a Q2, it came through exactly as planned, and really rounded out the first half of the year for us in a very good way. In terms of production of 120,000 ounces that we produced in Q2 brought the first half of the year to just under 25,000 ounces and pretty much bang on plan as we started at the start of the year. And while we still have what appear to be slightly unusual cash crops and ASIC, there's very good reason for those both positive, but they look slightly out of kilter in terms of the full year guidance. But I think importantly and we'll explain those later the key factors as we look at the half year, we look forward to the balance of the year, we've maintained guidance across all those three key metrics. So guidance for 7500,000 ounces remains on track. Our 700 to 850 cash cost and our 1200 to 1,350 all-in sustaining cost will remain on track to what I believe is a solid first half of the year. Next slide please, Richard. In terms of safety, you’ve heard me say multiple times, I do believe that a safe side is a good proxy for a management capability. We did unfortunately have our first LTI quite considerable time back in Q1 at Sukari, we announced as part of our Q1. So the production update, I dare to say that said no further LTI's during the second quarter at Sukari that it brings to end $12.5 million. Our streak of LCI that man hours of free hours worked and that is in fact a site record despite that simplicity in Q1, I'd like to say that Q2 is back on track as we continue to focus on reducing harm and ensuring a safe workplace for all our employees. We did have two LTA's at REDX project during the second quarter. We have established a small exploration company in the desert, single contracts from fortunately most of a couple of LTAs in the period is one of our contractors there for all of our responsibilities under we'd look to sort of get on top of that ensure that doesn't roll going forward as well. But broadly across the group happy with the performance and management focus remains in this area. And if we look at that trip, I see that trending quite nicely to Level 0.45 against that target of 2.14 for the year as we go forward from there as well. I would just note of course as well that our sustainability report was issued in the first half of the year as our 2023 report. And that is being performed in line with GRI around the ESIA reporting as well. So that's available on the website and happy for and we'll take a look at that and sort of what we do as well. It was that generally a good performance and happy with the safety performance but it remains as ever something we remain focused on efficient around as well. Next slide please. So a little bit of a deeper dive nice Sukari and look at that first our operational scorecard and start maybe with the open pits, so total material moved on plan and a good performance by the team there. I think one of the highlights for the first half of the year of course was the completion of capital limited supply shipping contracts, the fixed volume portion of that well we contracted them to move 120 million tonnes of waste to allow us to bring the open pit back into compliance with the long-term plans around ore to waste ratio movements and also importantly delivering increased flexibility and contingency within the plant as well. So the life of that work was finished ahead of schedule and was done safely and efficiently. And that with that now behind us, moving back towards a more normalized level of strip ratio as we move forward for the balance of the mine life as well. And I think of course that the key is around compliance to plan, making sure that we do at any given period is what is required to be done in that state and conformance with the long-term requirements of the operation as well. And from that and we certainly delivered that in the first half of this year. As I said the total material moved. We did benefit from some waste oil conversion scenarios particularly as we seek to raise at this stage there were areas that we had assumed to be waste. We have like a floor coverage and that actually turned out to be low grade ore. That's around that stage seven areas, the north end of the pit resulting actually in more gold and recovered lines I should say. And that will be recovered in future as well. So I know a positive benefit from the operations the first half there. And importantly to be as we move the tonnes as planned in the right volume, the dollars spent actually from that that we actually benefited by finding additional gold in the open pit as well which we can recover that in the future. And unfortunately that does make things a little bit more complicated for us from an accounting perspective whilst will take you through the impact of that a change in the strip ratio as I say it's a positive benefit to the operation which does have some flow on impacts how we account for CapEx, OpEx and sustaining CapEx and so as well, where they are operationally very happy with that as an outcome. From the underground, Q1 into Q2 saw the completion of the ventilation upgrades and the arrival of all that sort of remote bogging command system. And that's enabled us to push on very strong Q2 underground volumes both in terms of ore and waste and now hitting the daily run rate as required to meet both this year's plan and in the longer term as well. So I think an excellent performance by the underground team there. We expect the second half of the year that the ore grades mined to return back towards that life of mine reserve average that we'd look to mine to. In terms of processing and good performance by the processing team that did benefit from some additional oxide and transitional material in Stage seven. That allows us without softer material to push the throughput slightly. Hence you'll see a good performance of 6.4 million tons. That oxide material did come at a slightly lower grade and with some sort of play materials so there was a slight not to recovery, but all in all a rounded out. The crude throughput with a slight reduction in net recovery allows deliver those ounces farm plan as we said as well. So I think a good performance and around compliance the long-term plan, a good performance in terms of our delivery and Russ to take you through some of the cost performance which was also similarly good as well. So, I think a very good day a good first half of the year as sort of evidenced by a strong Q2 last plant. And just move onto the next slide, maybe we'll do get done at a slightly deeper look at -- or a closer look at the strip ratio points. I think that you are regular listeners will know that sort of the mantra for the last three to four years has really been around compliance to plan making sure that we run the operation both in the short-term in terms of making sure we get access to be able to maximize cash flows and take it as these gold prices, but ensure that we do so in compliance of that long-term plan. From an open pit perspective, that means focusing on making sure that we're doing the requisite stripping in the period to ensure the long-term viability and operability of the open pit mining operation. So, within that, as you'll note from this chart here, in terms of the first half of the effected the total material mined was pretty much on plan slightly ahead of where we thought we'd be. But generally we moved to the right amount of tons and the right volumes within the period. We had budgeted for a strip ratio of 5.3 to 1 license to all. But I should note that when you look at that we actually have a strip ratio of 3.7, so I think when one looks at the strip ratio at 3.7 versus 5.311 potentially take that we were somewhat gaming the system and reverting to sort of that previous levers around sort of understood the potential of material moved not absolve. We did the right thing in terms of the period. And what of course drove that sort of if you like forward strip ratio was at least ore conversion about 2.5 million tons. It was completely waste ended up being able when you take a slight mining additional ore tonnes with that waste to ore conversion. That obviously has quite a sort of significant impacts on the strip ratio. When I look at that all we did the period though, 6.1 million tonnes that we planned to go to the ramp was done. That was mined correctly and about that grant that we target from the open pit. So, that was pretty much on plan as that as predicted. And of course the orders might still each that's where we had a significant sort of uptick in terms of ore to waste conversion. So, that did bring in additional tonnes that that lower grade. So, when you look at the total for the period at 13.7 million tonnes does it take to be a slightly lower head grade of 0.65, but recognizing within that the lower-grade mix material which will recover after the facility and the order wrong as planned as well. So, as I say headline figures look slightly misleading around strip ratio, actually on a physical basis tonnes mined, dollars spent, more gold find, I think that's a good outcome. But of course with that strip ratio change, there are some implications around cash costs. And I think as well that was obtained through as well. But overall a good performance from the open pit team there. Next slide please Rich. And then looking at the projects at Sukari now. I did mention that the leach material as having some success in finding additional material that wasn't originally in the plan and the delta has been operating quite well for us now over the last sort of six to 12 months with that additional to what we've found. We've taken the decision to expand as and all the dump leach. And we've got a larger area that we've identified that we could use depending on how large that we'd like to be. We are putting a starter as sort of that pit does age in place that material and expect that to start to be constructed over the second half of this year. And we anticipate starting to contribution from that to 2025, relatively minus sort of 3,000 to 5,000 ounces per annum, but there will be additional ounces and ounces that have been mined part of the open pit plan in any event. And so therefore we're bringing to bring that gold production forward. And of course by the handling once you have incentive to stockpile re-handle, we do so in a cost -- more cost-effective and cheaper manner as well. So, we're very happy with that little opportunistic care project there to take advantage of the dump leach and bring that through. In terms of reconnection, obviously, one of our flagship project and sort of the type two side there. One side good progress around EPC contract, detailed engineering design and planning and those move along as planned very nicely. We have been somewhat hamstrung by changing cabinets. There's been a number of ministerial change within Egypt with the presidential elections last year and that led to President [indiscernible] reelected adding peer reappointed to the cabinet in April of this year. And that did see some governmental changes. One of those changes was Minister of Electricity with the new Minister in place now and a new team we put in place some of the services work streams have somewhat slowed down, no issues with them. It's just waiting for the right people to be at their desks. Once appointed, we'll pick that up from there as well. That does mean that we were planning for energy optimization of that project by the end of this year. And although we're working hard to trying to catch up on that that may well slip into the first half of next year in terms of bid that project coming on stream for us as well. But nothing untoward at all the work teams are working well just a function of the government change, of the government reshuffle taking place through, sort of, April, May, June this year in Cairo. Gravity mill upgrade and – obviously, gravity circuit something slightly in the past work has continued on that initiative, but actually now we've identified a few other areas where we can possibly sort of at the same time as doing the gravity circuit look at some, sort of, upgrade opportunities within the processing facility. We're in the process of chasing those down that engineering group output and we'll look to update you second half of the year. But I think there's some interesting work to come around that same opportunity within the mill. And that has some good potential for future production and cost base as well. And finally in terms of autos facility and 40 utilities remain you know a headline for our sector and it's something obviously that we take seriously. We have of course committed to gain GSTM compliance by the end of 2025, something that we're working on and made great strides over the last 12 months to 18 months. During the half we retained the senior independent adviser to the company as part of our GSTM and sort of management infrastructure and oversight. And that work continues around the compliance by the end of next year as well. So it's a good progress as we look to operate a world-class facility designed to and called I call international standards as well. In terms of the CSF itself and work in terms of tax rate is well well-advanced. We're at 65% complete at this stage versus a budget of somewhat around 56% as well. So slightly ahead there in terms of the projects. So that will you will just pause there in terms of the operational review at Sukari itself as I say a very sort of very good Q2 as per plan that good delivery by the team everything on track as per planned in fact some upsides around the at least will conversion that ability to accelerate the dump leach break some of those projects forward as well. So I think an excellent Q2. And I'll pause there now and I'll pass over to my colleague Ross, who will take you through some of the financial metrics and I'll finish off with an update around EDX and Doropo from that. So thank you and over to Ross.
Ross Jerrard: Thank you, Martin and good morning, everyone. If we turn to our financial scorecard please. I'm pleased to report the material improvements across many of our financial metrics after really solid first half performance by the ops team particularly that delivery in the second quarter which gives really good momentum into the second half. And as you can see from our standard financial scorecard that we report; revenue is up 9% year-on-year at $465 million. This is driven by the increased average realized gold price which was up at 2,200 and at $2,218 per ounce up some 15% year-on-year, but it was offset by some lower gold sold ounces during the period, which were down 5% year on year. The timing between ounces produced and sold have had a larger impact on the unit metrics than normal for the period, but we do expect these to stabilize over the second half. Adjusted EBITDA was also up 9% driven by those data revenues and lower costs, but mostly impacted by having significantly less costs capitalized that we had expected. These costs with waste-stripping costs are low and feet which it reported operating costs rather than being capitalized as we are under the strip ratio. Post-tax profit to shareholders of $83 million was down 8% year-on-year driven by the factors that I've just mentioned. But also the fact that we continue to pay profit shares to both partners during the period, while we finalized some outstanding cost recovery audit period. These factors all had a flow on impact and resulted in a 9% decrease in our basic earnings per share at US$7.19 per share. But it's important to note that from a cash flow perspective the good performance meant that we finished the half with increased liquidity of $350 million. This is up from $311 million at June 2023 and includes that $150 million undrawn revolving credit facility. So notwithstanding the accounting nuances of what's capitalized or what's not for that waste-stripping, the cash generated is the most important metric to me and we're very pleased with the results of that $43 million of free cash generated during the period which is up 121% from last year. So if we talk a little bit more about the cash. Moving to the next slide. The free cash generated was a strong performance and a strong operating cash flow 19% to $203 million for the year really meant that we closed the year with that liquidity of $350 million as comprised on the left hand side you can see in the chart there the breakdown, but our cash and cash equivalents of $110 million it was bullion on hand waiting to be shipped valued at $52 million. Gold and silver sales debtors of $38 million at an undrawn last year of $150 million. I do note that, that cash and cash equivalents balance is higher than normal, particularly that bullion on hand due to the timing of gold pours versus shipments and also the elevated gold price at the end of the period. So with the strong cash flows generated, we've been able to fund investments from cash flows and that RCF remains undrawn. I just want to talk a little bit more about the unit rates that Martin had mentioned. And this is our standard metrics across the various parts of the business. And importantly, it shows the trend line over previous periods, which shows good trends. So starting with the open pit on the top left. Costs have continued to trend down on a unit basis, driven by better feed productivity, cycle times and other operational initiatives in the open pit. I must highlight that we have come to the end of the waste mining contract. And in doing the necessary reconciliations, we had incorrectly been allocating some explosive and blasting costs to our mining feed grade rather than allocating those costs related to the waste mining contract material to their contract. So this has resulted in a reallocation that has been rectified, and that's why you see that divergence in the first half. This is the final reconciliation. And now that the waste mining contract has been finalized, there won't be an impact going forward, but I do highlight that in terms of the divergence. Our process unit grade has dropped with the increased total ore volumes. But as always, the fuel price has a significant impact on the processing costs given our current diesel power station. But you can see the trend over 2023 and into 2024, with the full impact of solar power, which coupled with a lower diesel price, running at just under $0.80 a liter, and a continued focus on the consumable consumption rates has meant that costs have been able to be well managed and actually decreasing year-on-year. On the right-hand side, you can see the decrease in the cost profile of the underground following the transition from contractor to owner mining, and the lowering trend continues. The change-out of the contractor had a two-fold benefit of lower costs and also increased productivity. More material mined at a lower cost per tonne. And you can see that trends continued as material movement has increased. And the overall mine G&A costs were also well managed under challenging global and local inflation environment, which you can see on that bottom right-hand chart. We had benefited from an EGP devaluation to U.S. dollar, which is largely countered inflation, but that unit rate is a function of the processed ore, which increased during this period and showed some volatility. But you can see the impact over the back half of -- back half of 2023 and into first half of 2024. But overall, we see that stabilizing as we go forward. Our focus has always been on the bottom line. So moving on to the next slide, where you can look at our stringent cost management and taking a little bit of a dive into cash costs and all-in sustaining costs. You can see on this table the absolute cash costs and all-in sustaining costs, which were well managed across both 2023 and 2024, but importantly, aligned with our budgets and what we had forecast. What is not shown on this table is the unit metrics. And when you look at the unit metrics against absolute spend, our cash cost metric is divided by our ounces produced, and our all-in sustaining metric is divided by ounces sold. So the impact on the unit metrics has been impacted by the timing of those final ores that I mentioned and the shipping and sales dates. And we've already discussed the impact on the bullion, but you'll see the impact on the abnormally large bullion held in the safe. So if we normalize this, all-in sustaining cost is under that $1,300 mark, which is well within our targets and sets us up well for the rest of the year. We do have a variance against plan, where a significant portion of owner waste mining stripping was not capitalized to CapEx as we had anticipated. And this is due -- this material was originally budgeted as waste has now been reclassified to ore, once it is mined and the impact of these costs has been that they've been reported to mining costs during the period and they've effectively remained within the P&L and therefore not capitalized to the balance sheet. This distorts the increased cash cost metric but has no overall impact on our oil and sustaining costs. On the right, you can see the breakdown of the oil and sustaining costs split for the half and the pie chart is very consistent with what we've seen in the past with that mine production cost sitting at around 75% or 76% of the total, very similar to the chart that you would have seen for the full year 2023 which is peasing. Moving on to the next slide. So working in partnership with our stakeholders, we have a very stable, transparent and long-standing flow of funds which while very simplistic has worked well over the years. You can see on the left-hand side of the chart, the structure of our funding and distributions, that's PRSG and concession agreement. We're after 3% top-line royalty to government and after recovering any cost recovery due from those sentiment funded projects any remaining net proceeds are paid to both partners on a 50-50 basis. These distributions are all made in US dollars, it's important for the Egyptian government but also for us and it's important to note that those distributions are made weekly. You can see how on the right-hand side of the chart how those distributions have been made for 2024 where the $162 million worth of distributions were paid $14 million across the royalties to our government partners. No cost recovery was paid during the period as we finalized those audit periods, but $74 million worth of profit share were paid both to us, to Emera and ourselves. So the end result was $88 million received by government and $57 million worth net contribution was received to Sentiment after funding those growth projects of $17 million as you can see indicated. This mechanism has worked very well over many years and the regular distribution in hard currency US dollars is very important to both sides. Moving on to the next slide, you will see that cumulative effect of what it has meant for cumulative distributions where $1.96 billion cumulative distributions have been paid. Royalties and government profit share shown in the gold and the grey bars of $262 million and $793 million respectively and our side, our own shareholder distributions of $907 million showed in the blue chart. This is in addition to local procurement spends in-country where you will see on the left there for last year was $631 million US dollars. So very important distribution and you can see the distributions working really well. Talking about our own shareholder returns, if we turn to page 16 I am delighted to talk about our own dividends as this is our 11th consecutive year of dividend distributions. Sentiment's dividend policy is to use group free cash flow generated and applying a first 30% or minimum 30% priority payment of dividends to those cash flows calculated before growth project CapEx which we fund either from debt or from surplus cash flows that are generated. Thereafter, there is assessment made against both balance sheet requirements, capital allocation and further application to shareholder returns. You can see in this chart the steps taken in the dividend policy by taking group free cash flow $42 million, adding back our growth project CapEx, creating cash flow available for dividends, applying our first 30% minimum distribution per policy and then assessing the surplus discretionary cash flow for discretionary allocation. So there was a board supplement of $11 million that was applied to our interim dividend of $26 million. So overall in summary, the board discussion and recognizing balancing shareholder returns with capital growth investment and also looking ahead for our requirements for Doropo, the first 30% of free cash flow was calculated and then another third of those surplus cash flows rounded up to $2.25 were taken as part of the dividend declaration and the dividend payment date as you can see there is 27th of September. Basically, 53% of available cash flows were distributed. So in conclusion and moving on to the next slide, you can see as we exit the reinvestment phase we are in a very healthy position, having maintained both a very robust financial strategy and delivering on our continuous improvements. We finished the half with a strong balance sheet with liquidity of $350 million, still allowing pure exposure to the gold price, but also funding all that capex from treasury and cash flows. Our balance sheet position, both in cash and undrawn RCF allows us that additional flexibility and as we move forward over the next financial year. And it means that we can really focus on the business, and drive our margins and free cash flow and invest in the future. We've continued to deliver on those cost savings initiatives, and we are on target to deliver our annual guidance as we enter a stronger second half. Our budgets are on scheduled and the key projects are on scheduled to be delivered, but it's been another strong year of strong free cash flow as we go through this final period of reinvestment and exit the reinvestment phase. So with our treasury and strong cash flows, even during this reinvestment phase, we've been able to finance all our projects, pay our partners EMRA and continue with our shareholder returns without drawing on that RCF. So a very, very pleasing result for everyone and it's a strong delivery against our stated plans and very excited as we enter into the second half. With that, I'll hand back to Martin.
Martin Horgan: Thank you very much, Ross. And as you say, great to see the cost control at Sukari there as those unit rates and total spend, a real focus on that and through focusing on delivering those ounces and delivering those costs have enabled us to take advantage of that as good gold prices and deliver those cash flows. And so we just move on next slide, please, Rich in terms of -- what I will do -- like to do now is take us through the EDX sort of update. Maybe just as a preface this, before we step in. I had the great pleasure last week to attend the Egyptian Mining Forum, the third event and as part of that delighted to say that was able to get some time with the new Minister of Petroleum, who has just been recently appointed within Egypt. His Excellency, Karim Badawi is an ex-Schlumberger man, had worked pretty much all his career with Schlumberger, a number of both onshore and offshore senior positions and he joined the government to take up the role of Ministry of Petroleum and Natural Resources, and therefore, of course is responsible for the mining sector within Egypt. He held a keynote speech, he gave a keynote speech and then rather wonderfully, then stayed around the conference for the entire day and took an opportunity to host a networking lunch, hosted one-to-one meetings as well. So we had quite a bit of exposure to the new minister. I found him very engaging, very sincere. He was very honest and noted that the progress that was made around the new mining code for Egypt had stalled a little bit, recognizing those presidential elections and then the cabinet reshuffle had sort of meant a little sort of stalling from the government process of delivering those changes. And he openly acknowledged that. And he openly acknowledged and stated his desire to put that momentum back on the table to get his government to deliver into those negotiated terms, and then really get that framework in place to enable to sort of kick-start the Egyptian mining sector as well. He made a important point about being unified with the minister of finance, which I thought was very good and so much so. Minister of finance actually came and joined a panel session at the Egyptian conference as well. So I think it was a very impressive and honest and earnest display from the minister. He said, all the right things in terms of recognizing didn't duck any of the issues and then made that commitment both publicly. And then also privately we met again around his desire to see that kicking up as well. So we wish him the very best with that. And as ever, along with other colleagues, remains sort of there to work with him get this legislation in place. And then really, I believe, enable us to kick start the Egyptian mining sector and all this potential. And potential is a key word and I think moving on to the next slide now, delighted to say that we're starting to realize some of that potential here now. And I think the best thing we can do to demonstrate to the broader world of the potential of Egypt is to do that work. And obviously, Sukari speaks for itself in terms of the ore body. We've had a long sort of belief and Centamin certainly in the last four years under my watching and other team before we -- of the geological potential of Egypt's Arabian Nubian Shield, and with that, obviously, we started to do the work a couple of years ago focusing initially on the areas adjacent to the Sukari mine. You may remember. We'll recap here from January. We gave some initial drilling results of some of the targets that we'd generated during 2023. And then drills of the second half of 2023. And out of that, two emerging areas that we believe quite a good interest that came to the fore, Little Sukari and Umm Majal, both within sort of 20 to 30 kilometers of the existing milling facility. And as you might remember from January, some of those widths and grades there that we were seeing at both those projects certainly indicate the potential for mineralized sort of widths and grades, that could support resource and then ultimately reserve growth as well. So, that gave us a good bit of confidence back end of last year, sort of proof of concept around the sort of the prospectivity of the EDX and also the potential for not just small C vein sets that are interesting to us is those, but those sort of both resource targets that could be a commercial interest to a company like ourselves as well Just moving on to next slide please Rich. So with that we set up a fairly aggressive campaign to go back to Little Sukari and Umm Majal, initial work focused on macrophages to do small details structural work there as ground based geophysics and IP work trying to understand the sort of potential targets are looking at. And then initially we put together a 15 kilometer core and RC program to test both targets with the attention of some infill. It should be going in certainly Little Sukari, we had a few gaps in the initial drilling phase this for and we don't but also then start trying to understand the potential depth and strike extent of these tons there as well. And so that work commenced towards the end of Q1. As I mentioned before, we've established a field count now Little Sukari and the teams are really busy. And of that initial 15 kilometers we’re about 30 kilometers into that that has all been focused on Little Sukari and we haven't yet gone to Umm Majal and the intention now based on that success into that 15 kilometer program that is happening because about a 20 kilometer program over the balance this year. And it will be focused on Little Sukari we will move to Umm Majal probably later this year early next year, but given the success we're having in Sukari has decision to stay focused there and extend that program 15 to 20 kilometers of core and RC work. And the infills coming very nicely starting to really sort of test the sort of the depth extent of that little sort of schematic on the right-hand side there, you can see that in some gold, visible gold particles giving us a good indication of where that's going, as we look to test the depth extent. I think importantly on that plan, on the right hand side there, as you can see as we start to move to the west and from the initial discovery points, can we have some success where the mineralization does look less interesting to the west and that's gone very well for us and started to see that strike extent sort of extending it to all of these plus now from the original area, as well as that debt expense as well. And really pleasingly for us, it would appear to be more recently the emergence of a parallel southern zone actually [indiscernible] as well. So, still relatively early stages. But what we're seeing is some real encouragement and excitement around the potential Little Sukari to build on the success we had in January and say that forward from there, it works the second half of the year, we'll see we'll focus on the continuation of that federal program to round out the 20 kilometers of drilling will deals. You alluded that metallurgical test work program as well, and we should be getting assays and the like that towards the end of this year, look to update you on the assumption that all comes together looking to put a resource together for that during 2025 as well. So I think in terms of the relatively short space of time at [indiscernible] identify and now bought aggressively look to expand Little Sukari as some pretty interesting results coming through that now and that will start to shape up has been interesting to Centamin and interesting for the Sukari milling infrastructure, but also a clear demonstration of the potential of EDX to yield more discoveries within the Eastern Desert of Egypt as well. So, watch this space. We'll back to you later in the year, as we start to ramp it up from there as well. Next slide please, Rich. And that wasn't enough, that now we've talked in the past about an integrated pipeline of organic growth opportunities. Obviously, we focused on Sukari in the past the geological extensions and the addition of over 2 million ounces of reserves at the last three to four years at Sukari focusing on some of those cost initiatives, to take cost out of the business that Ross highlighted very well before the growth of Sukari, we now started to see the growth emerging at EDX, but of course the West African portfolio something that's been emerging over the last two to three years, as we will go to potential. I'm delighted over the last six months to first half of this year, that we've been able to deliver both on ESIA and a full feasibility brought to Roku as well. And this is really exciting as I joined back in 2020. It's an exploration project about 5 million ounces at one gram per tonne, mainly food material, and no real direction. And I think in the last three years, it really got hold of that project. It was a real focus and momentum to the driving staff and rest of the short space of time leveraging off the previous work done, been able to deliver scoping a pre-feas and now a feasibility study as well. So I go out and look at that now from here. The next slide, please, Richard? So just as a recap, Doropo in the northeast Côte d'Ivoire and adjacent to the Burkina Faso border and snow for the Comoè National Park as well. So fairly rural area with limited developments at both infrastructure industry. And certainly the government has indicated it's a key area for investment for them and they believe it's a Doropo is a very good example of project to deliver work, it can deliver revenues, it can deliver important skills to people but also the infrastructure as well. So some real government support for this particular project. I think the PFS that we completed last year, I think we were very clear that it showed a versatile technically simple project, multiple pits around the central processing facility as I looked like it could deliver about 10 years of mining as early cash flows the first three to four years and then as a sort of CapEx in the order of about $2 million. It did have for us the key area of focus is around social impact, initial plans. How does sort of relocate between 2,000 and 3000 impacted persons over the mine life. And importantly, some of those have to be sort of a gated and moved prior to construction started. And really the DFS and as we looked back was to take that concept and looking at how we could obviously increase the accuracy of the estimates through the DFS stage. But also importantly could we lower the risk profile of the project and within that focusing on the social aspects of the project impact as well. So lots of work done over the DFS you should expect. A big geologically infilled program it went very well for us, enabling us to look at a grade of lift and bringing some oxide material. And generally become a complementary of the work done to the PFS. I think is interesting you to note that in terms of our assumptions that DFS have been run at $1500 gold reserve price and is taking us back to 40, 50, whatever the geotech work above in terms of the pits and also the infrastructure. So quite a lot of work done there. And really comprehensive met test work programs. We've got eight pits, we've got three all types of oxide transitional and fresh material. And then obviously you've got sort of special as sort of the compliance within those eight pits as well. So a very significant met test work program has been done. That has broadly confirmed the outcomes of the PFS and we've been a little bit prudent around LA and this is the DFS but that's fine. We're happy with that. And we see opportunities for further improvement down the track. And then of course, we've looked at the infrastructure planning around power supply, TMF were also down an access. And obviously, we have look to effectively have tighter pricing from the mining contractors from the CapEx estimates of those quantities and so on so forth as well. So a really comprehensive feasibility piece of work focused on confirming the PFS outcomes but really focusing on that social impact as we look to improve that and therefore lower the overall risk profile of the project as well. And broadly, as the DFS confirmed the PFS configuration, which is very pleased to see as we move forward. So we’re just stepping on the next slide please, Rich. So as I mentioned, this was a key area of focus for us, noting the impacts as detailed in the PFS. Generally the hierarchy that said, we look to deploy it when it comes to social environmental impact is well firstly is avoid, that can be ordinary impact. We can’t void, can we minimize it, so exploit and minimize. If we can't minimize, then probably mitigate. And the final piece of the jigsaw is then if we cant either avoid minimize or mitigate that issue and we're going to look for compensation as the final and least preferred option as we go forward. And so lots of the – so the philosophy was looked at the end for that also looked at the project configuration as things around sequencing of the pits to ensure no more than ever the two pits are open to minimize impact that were maintained and held over. I’d like to say that there's some kind of thinking and some smart work by the feasibility [indiscernible] teams. We've been able to have a significant reduction in impacted persons in the project life and that's sort of 2000 to 3000 individuals that were going to be impacted from the PFS is now going to be less than 500. And that's a huge change in the risk profile of the – of the project in terms of implementation. And I think really important as well is now know their requirements are up from relocation ahead of construction and in fact that relocation negotiation – relocation impacts only starts a year two, three the operational life as well. So I think that is a significant benefit to the project and really enhances the overall project this profile and returns effectively as well. I did mention the Comoè National Park as well and there is no formal sort of buffer zone to the park within Cote d'Ivoire. And we have, however, decided to impose a voluntary buffer zone to the Comoè National Park to the southern end of our license package as well. So, with low associated risk considerably and we are imposing a 5 kilometer a voluntary buffer zone around the Comoè Park as well to minimize any potential impact on that park as well. So overall, I think some excellent work embodies our ESIA, and I think it's to, say, really enhance the project. And with that, we submitted the ESIA to government, which will we still ahead of the mining license application and that obviously presents sort of assess community engagement done by the government. I'm actually delighted to say that our ESIA was approved during the first half of the year. So a very quick turnaround from government and public consultation was broad-based and supported. I'm delighted to say that our Environmental Compliance Certificate was awarded to that and gives us a big tick in terms of our plans for the ESIA and those impacts as we go forward as well. So, I think that's a real sign of the quality of the work done. I think it further underpins the government’s desire and willingness to see this project move forward as well. So that's a huge element of de-risking to the projects from there. Next slide please. So really with that significant body of work done through the DFS phase although there is looked at with that environmental improvements essentially proved what drives the leverage into that. And they are now an approved project from ESIA perspective, very happy with the positive outcome of the feasibility study. So from that I mentioned the infill drilling, we saw pretty much a nice pickup in grade to that just over 1.5 grams to just about 1.4 grams, so very nice pickup. And despite that reduction in reserve price applies the project from $15 to $14, $15 per ounce, a very similar total probable reserve of 1.9 million ounces giving us about a 10-year mine life from start of production as well. So, very much a good mine life there. We do think, it's good geological potential in the area and we take it. We took the decision not to sort of to continue to sort of drill down geologically additional ounces have no target areas that we have for mapping data as sort of began to sold programs announced sort of artisanal areas. Although we do believe that they will add years 11, 12, 13, 14 in due course, however, the lockdowns in detail to support the capital investment decision we took decision that we'll do that further exploration of the cash flows once the operation is up and running as well. So, a good 10-year life of just under 2 million ounce reserve had a good pickup on grade from geology. But we stress that we do believe there's good potential for life extension as well beyond that as well. In terms of the mining, as same as before eight, the three pits mined and sequence them onto up at any one-time. And we work on the contract of mining option against this feasibility study. And we did see some nice improvements in contract mining rates office. They sharpen their pencils, was offset a little bit by the strip ratio going up based on some of the geotechnical work. I mean like some of the slopes in the oxide and transitional material as it ultimately out with a good solid mining schedule on that basis. The metallurgical processing network, that's a very comprehensive program. It's in the flow sheet that we were looking at previously and the dilution actually in the share reactor at this stage. And with that comprehensive program, we've taken slightly more prudent approach to the metallurgical recoveries that we've seen a slight dip on net recoveries compared to the PFS, which kind of balanced out by the increase in the reserve grade that we're seeing from the improved geological understanding from there as well. And when we pull that together, what we end up with is a very nice project delivers north of 200,000 ounces for the first five years at less than 1,000 towards sustaining costs as well. And what that tells us that is, obviously, a very strong sort of initial payback period on a daily basis for that project as we go and when we think about that payback. I just a few to CapEx, as I mentioned a lot of work went into the infrastructure design, a lot of work led to some small things around the overall sort of project configuration and much more accuracy in terms of bill of quantities that earthworks steel and concrete and so on, and obviously was very beneficial to us is a number of projects recently taken place and constructed in Cote d'Ivoire. So very well informed and up-to-date pricing available in-country contractors and a combination of running a store is actually just move the CapEx up to 3.73 from that 3.50 the PFS. It's just the contingency. So, actually less than the 7% increase in overall CapEx, despite over sort of 15, 18 months since the last CapEx estimate as well. So inflation alone would account for that. But delighted with the approach to that as well in terms of the sort of keeping a careful eye and not letting that blow out ahead of itself. That leads to about a 20 month build from real sort of FID as we move forward from there. I think importantly for us, when we look at the metrics using our $1,450 gold price long term that gives us that IRR north of 15%. But when we look at that on a more normal, if you like, sort of market consensus, street consensus, they long term $1,900 gold at an 8% discount rate, which is important. We've got a nice post-tax NPV of north of $400 million and importantly north of that development CapEx as well, and a pretty strong IRR. So what we see there, or what I see there is a very robust project that will have some meaningful contribution to the Centamin Group in terms of ounces and cash flows. A faster, rapid repayment period and a project with a significant reduced risk profile given the work done around the social environmental aspects as well. Probably one final thing to note in terms of the feasibility work itself, I think we've approached it with a sense of prudence when we think about potential of future construction funding for this. Very much aware that it's likely this project will be subject to independent engineer review and diligence. And with that in mind, we've not looked to effectively dial everything up to 11, we believe with the right side of prudence. And this project will very much withstand external scrutiny and validate those inputs, as well as part of any financing due diligence process as well. So we think it's a very real project, it's a very real set of numbers and it's something that we're very happy to stand behind and take forth on that basis as well. Next slide please, Rich. Just talking about CapEx. Clearly, one of the points for us is around capital intensity in terms of that number. I would say a couple of things is that we believe that actually it's about rights and there's a couple of things that we point to at that basis. First and foremost is that, we had one particular engineering group that did the pre-feasibility study. We moved to a different engineering group to do the feasibility study. So two different engineering groups both came back to very similar outcomes. So that gives us some -- we don't have too much grouping there. We've got two different engineering groups coming up with a similar number. And then on top of that as well, we look to do a sort of a benchmarking exercise to our peers within the region as well. And again, we believe that that indicates of the project, it's not the cheapest, it's not the most expensive and sits in line with its peer average as well. So I think that gives us, from the bottom up first principles, CapEx derivation to come up with that number. When we then look extremely to benchmark that and the basis of that estimation, we believe it's a very real number. Next slide please, Rich. So, next steps from here. Well, clearly license application that we'll be going in. We'll make our submission to government for our mining license and that obviously will take a number of weeks and months to work through the Ivorian system. While that's happening, we'll look at some early works. So obviously kick-off the feed, select a contractor and get into the feed from engineering design. We'll look at maybe some potential sort of cheap, but very cost effective early works around things like existing camp upgrades and infrastructure. We'll do a little bit of the grade control work to get out of that towards the dry season later this year to starts to do some infill around the early years of production. And of course, one of those work streams we're looking at finalizing now, the financing structure for that. So with all those work, we'll be looking to do through the second half of this year, leading to an FID I believe in the early part of 2025 and on the assumption that rolls through and that construction timeline leading us to first gold in early 2027. So very happy with that, I think that's a great outcome for the company. I think that's a great outcome for Doropo. And I think it's a very real project making meaningful contribution to us as a business. And I think they're very real improvement numbers which we would hope to beat as we go forward and improve on from there as well. Next slide please, Rich. And again, please. So, to summarize in terms of our 2024 guidance, I think, the headline cash cost and AISC noise somewhat sort of confused a little bit around the stripping sort of changes in the strip ratio and then the gold sold versus gold produced. I think what you can see if you look through that sort of cash cost, and AISC noise is that the ounces are where we planned them to be that 225 was a good outcome, a good strong Q2 which is planned off the back of that Q1 has brought the ounces in on plan. I think as Ross showed, you those unit rate in terms of right from the open pit, the processing and the underground and the G&A, strict cost control means that the unit rates are moving in the right way. And then ultimately, if we look at then the cash flow..... So, actually less than a 7% increase in overall CapEx, despite over sort of 15, 18 months since the last CapEx estimate as well. So inflation alone would account for that. But delighted with the approach to that as well in terms of the sort of keeping a careful eye and not letting that blow out ahead of itself. That leads to about a 20 month build from real sort of FID as we move forward from there. I think importantly for us, when we look at the metrics using our $1,450 gold price long term that gives us that IRR north of 15%. But when we look at that on a more normal, if you like, sort of market consensus, street consensus, they long term $1,900 gold at an 8% discount rate, which is important. We've got a nice post-tax NPV of north of $400 million and importantly north of that development CapEx as well, and a pretty strong IRR. So what we see there, or what I see there is a very robust project that will have some meaningful contribution to the Centamin Group in terms of ounces and cash flows. A faster, rapid repayment period and a project with a significant reduced risk profile given the work done around the social environmental aspects as well. Probably one final thing to note in terms of the feasibility work itself, I think we've approached it with a sense of prudence when we think about potential of future construction funding for this. Very much aware that it's likely this project will be subject to independent engineer review and diligence. And with that in mind, we've not looked to effectively dial everything up to 11, we believe with the right side of prudence. And this project will very much withstand external scrutiny and validate those inputs, as well as part of any financing due diligence process as well. So we think it's a very real project, it's a very real set of numbers and it's something that we're very happy to stand behind and take forth on that basis as well. Next slide please, Rich. Just talking about CapEx. Clearly, one of the points for us is around capital intensity in terms of that number. I would say a couple of things is that we believe that actually it's about rights and there's a couple of things that we point to at that basis. First and foremost is that, we had one particular engineering group that did the pre-feasibility study. We moved to a different engineering group to do the feasibility study. So two different engineering groups both came back to very similar outcomes. So that gives us some -- we don't have too much grouping there. We've got two different engineering groups coming up with a similar number. And then on top of that as well, we look to do a sort of a benchmarking exercise to our peers within the region as well. And again, we believe that that indicates of the project, it's not the cheapest, it's not the most expensive and sits in line with its peer average as well. So I think that gives us, from the bottom up first principles, CapEx derivation to come up with that number. When we then look extremely to benchmark that and the basis of that estimation, we believe it's a very real number. Next slide please, Rich. So, next steps from here. Well, clearly license application that we'll be going in. We'll make our submission to government for our mining license and that obviously will take a number of weeks and months to work through the Ivorian system. While that's happening, we'll look at some early works. So obviously kick-off the feed, select a contractor and get into the feed from engineering design. We'll look at maybe some potential sort of cheap, but very cost effective early works around things like existing camp upgrades and infrastructure. We'll do a little bit of the grade control work to get out of that towards the dry season later this year to starts to do some infill around the early years of production. And of course, one of those work streams we're looking at finalizing now, the financing structure for that. So with all those work, we'll be looking to do through the second half of this year, leading to an FID I believe in the early part of 2025 and on the assumption that rolls through and that construction timeline leading us to first gold in early 2027. So very happy with that, I think that's a great outcome for the company. I think that's a great outcome for Doropo. And I think it's a very real project making meaningful contribution to us as a business. And I think they're very real improvement numbers which we would hope to beat as we go forward and improve on from there as well. Next slide please, Rich. And again, please. So, to summarize in terms of our 2024 guidance, I think, the headline cash cost and AISC noise somewhat sort of confused a little bit around the stripping sort of changes in the strip ratio and then the gold sold versus gold produced. I think what you can see if you look through that sort of cash cost, and AISC noise is that the ounces are where we planned them to be that 225 was a good outcome, a good strong Q2 which is planned off the back of that Q1 has brought the ounces in on plan. I think as Ross showed, you those unit rate in terms of right from the open pit, the processing and the underground and the G&A, strict cost control means that the unit rates are moving in the right way. And then ultimately, if we look at then the cash flow derived from that, by delivering ounces at the right costs and being able to sort of participate in the stronger gold prices and drive that cash for the first half of the year or with that cash. And then, I guess with the covenants to give us that 2.25 dividend as well? I don't think as Ross mentioned from a liquidity perspective, our ability to hit those ounces at the right costs through the first half of the year and to participate in those gold prices has allowed us to continue that reinvestment process of cash flow and we remain that undrawn RCF and strong balance sheet as we go forward as well. So I think a little on that joke about the sort of the noise around cash costs and assets and that gold sold those gold produced. But I think actually the underlying message is very clear. It's a good first half as you deliver it at the right cost. Good cash flows generated through the period supports the Divvy [ph]. Supports a strong point of liquidity and positions us very nicely to deliver that organic growth within the business. And as we mentioned before, when we look forward to the balance of the year, good momentum into H2 and guidance maintained for the year flattish. And really of course you've seen this slide a few times that we put it out there. When I joined in 2020 it talks about the desire retesting Sukari and using that as the foundation to build a multi-asset multi-jurisdictional producer and with the roadshow coming through now, we've taken a big step with that feasibility work now to actually sort of realizing that vision of a reset Sukari at that sort of plus minus 500,000 ounce level. And with the roadshow coming through together with that multi-asset multi-jurisdictional producer model and of course what's not SaaS you now have the potential from EDX to further enhance that profile as well. So I think a big step forward in the first half of this year is to really realize that the vision to deliver Centamin is that of a producer we only can and want to be. So maybe I'll pause there. And thank you for your time and sort of say that we're now open to the floor and have taken any questions that you might have.
Operator: Thank you, Martin. [Operator Instructions] And your first question comes from the line of Yuen Low from Panmure Liberum. Please go ahead.
Yuen Low: Hi. Good morning, guys. Can you hear me?
Martin Horgan: Loud and clear, Yuen.
Yuen Low: Wonderful. Just a few questions, well, I guess to do with Sukari is our cash flow thing. I'm sorry for the cash cost. First of all, shouldn't you be raising the cash cost guidance by roughly $100 per ounce? Secondly, do we -- is there going to be an additional $46 million of sustaining CapEx, because that was implied which presumably will be for the additional you're giving to capital drilling and so on.
Martin Horgan: Thanks, Yuen. So look, I'll pass to Ross in a second to tackle those on of course. And then congratulations in your new shop with the material cost as well. So that's going well.
Yuen Low: Thanks.
Martin Horgan: Look, yeah, it is always -- a tiny change is always challenging with the assets. That will give you a good look -- I think outside of the accounting treatment of it. I think, when I think about the sort of the physical plan for the year, we are basically where we thought we'd be at or even slightly ahead of it. So in terms of actual dollars spent to do the work we're at or better than we thought we would be in terms of a PolyMet mining in the open pit, mining in the underground processing grades and so on we're at where we want to be. We've seen some additional go through the dump leach, so, on a pure operational basis that we are at or slightly better than we thought we'd be for the first half of the year as well. So I think that's a really important thing that everyone needs to understand is a lot of noise around these numbers, but ignoring the noise, we are at or better than where we thought we'd be at the half year point as well. So I think that's very, very clear. In terms of the allocation of CapEx to OpEx out there with this IFRS 20, this wonderful sort of allocation of cost to the waste would be the cost of future production. And I'll let Russell say that it does sort of muddy the sort of cash cost versus the ASIC picture and obviously the CapEx as a result. To me, I look at the all-in sustaining cost. It seems to transfer from sort of a cash cost as it was vice versa. It ultimately it also gets captured in there I think and make sure that's where we are. So, on that basis, when I look at the asset and I look at ounces produced basis on ounce sold, is actually well within our asset guidance as well. So, I'm very happy with that as an outcome and that gives us that confidence as we roll forward assets and to basically meet that guidance both in terms of ounces and as a cost as well. In terms of capital, I would also stress that we put it under IRS last week that total material moved for the year isn't changed well is at the center. So, we plan for about 120 million tonnes to be moved this year the open pit, it will be about 122 million tonnes. So, to all intents and purposes, total material moved stays on track. And what we're looking to do, of course, here is redeploy some of our fleet to go and do some work to allow us to do the dump leach. So that's going to bring those ounces forward. That means that there's more gold coming out at good costs, more cash flow for the business. So, very happy to divert some of our fleet to go and get that dump leach pad ready. That means that we can opportunistically leave capital to move some tonnes that our fleet was going to move anyway. So, there's no additional tonnes in the system in that sense, it's the marginal cost of capital doing those works rather than our fleet doing it. In terms of their contractor rates. In terms of the truck delivery. Again waiting for some 785s to arrive from Caterpillar, there are few weeks delay. Nothing untoward there. It's a busy time in the market right now. And again, while those trucks are being delivered in the next sort of six to 12 weeks, Capital is on site, let's use them. They can mine tonnes -- those trucks would have mined had they been on site. So, again, compliance to plan, no additional tonnes to be mined. Those tonnes were already in the budget. So, again, it's that marginal cost above and beyond that from there as well. So, what we see is that by giving Capital those few extra tonnes, it allows us to diverse, so project will create more revenue in future. And it will also allow us to basically maintain long-term compliance to plan. And it's not -- it's not coming at the cost of any additional tonnes to the original forecast at the start of the year. It's just that additional small margin on top of their rate versus our rate for those contracts. But we think the benefits we get from the dump leach and the benefits we get from maintaining compliance to plan more than outweighs a marginal cost in increase by having Capital to do that. And when we look at the first half of the year, we looked at diesel prices from $0.75 to $0.90. We're probably trending sort of $0.78 to $0.79 to dollar per liter for diesel. So, within our sort of, if you like, operating budget for mining costs, because we've had a reasonable sort of diesel price over the period, we've got a bit of headroom in there as well. So, even those capital costs get -- those additional costs that we pay by doing the work, they're absorbed within effectively the range of headroom that we've got based on diesel price level as well. So, I think the thing -- I'll say lots of noise, Yuen, in, but I think the thing to think about, plans are on track or slightly ahead of where we thought they'd be physically. We've actually got more gold than we thought from the dump leach opportunity that's come through from the open pit on that basis. You've seen the cost controlled charts, the total dollars spent are better asset or on track as planned. And when we think about gold produced rather than gold sold, AISC where we want it to be, and cash flows where we want it to be, and we've got an ability to pay that dividend as well. But Ross, in terms of that comment around cash cost being up by $100, I'll defer to you there, Ross, in terms of how that shakes out for H2. But ultimately sort of the plan for H2 remains within the sort of overall plan for the budget of 2024.
Ross Jerrard: That's right. Thanks, Martin. And hi, Yuen. Yes, Yuen, this allocation, you're right. Sort of like if we adding back that CapEx, we will be trending towards the upper end of our guidance for the cash cost range. But equally on the all-in sustaining when a net on net it comes out in the wash in all-in sustaining. So, truing up for the ounce impact between denominator of poured versus sold. We within our range, within the all-in sustaining, but the cash cost number will be trending towards the upper end of the range. But we still believe within that range and acknowledging there's other moving parts in terms of diesel price and the like. I'd highlight in terms of the CapEx. So when we put out our CapEx outlook and guidance of the $215 million. So that's our true CapEx before we do this adjustment of the waste stripping. We're largely on track with that. We're slightly behind in terms of some of those discrete CapEx items like those trucks and the like. But, we believe that that CapEx will drop as planned. Overlaid with that, we had an annualized number of $90 million for this waste stripping that we thought would be taken out of OpEx and capitalized and that was for our fleet. So that didn't eventuate or crystallize in the first half. We do believe that that will come through in the second half, but obviously we're not going to catch up the full $90 million. It'll be another $45 million for the second half. And that's why we'll still be within our ranges for trending towards the top end for cash costs. But no effect on our all-in sustaining costs. Does that explains.
Yuen Low: Okay, wonderful. Yes. Thank you very much.
Operator: Your next question comes from the line of Laura Chan from RBC Capital Markets. Please go ahead.
Laura Chan: Hi. Good morning. Thanks for the call. Just two questions on my side on Sukari. Can I just clarify on the outlook closing the gap between sales and production for the rest of the year? And secondly for Doropo, are you still considering moving from contract mining to owner operator and is there any potential timeline on making that decision?
Martin Horgan: Thanks, Laura. I'll say the Doropo first, if that's okay Ross. And thanks for that. And then I'll pass to Ross in terms of the gold sales and how that sort of unwinds. So from a Doropo durability perspective one of the things that we've obviously looked at is contracted quotes for the feasibility study. You know if one goes out and sound market and get a range of five to six contractor quotes. It does give you a much more solid base of estimation for the feasibility inputs and you can point to a market soundings of quality contractors when we plug those numbers into the feasibility study. It just overall enhances our confidence in the outcomes of the feasibility study as well. So in part that was what partnering. But looking at contractor. Another way to think about it from our side as well that was the CapEx and the tax efficiency of that. So obviously it's a low CapEx option but it's a higher OpEx option. And we are aware of course that there's lots of things I can contract to find sorting equipment financing available from some of the major equipment providers and they can provide everything from a fully financed fleet with a March through to see us participating in that in sort of the bulk facilities as well. So that is something that we will look at. As I mentioned that we will be looking at the financing work streams of second half of this year. And now we've got feasibility numbers in hands of part of that of course would be one of the discussions will be do we look at a sort of a fleet financing as part of the overall financing package? What does that say to the CapEx requirement and how that works roughly with dealer -- lenders? What does that save OpEx until you should reduce it? But then as we've also though think about sort of operational risk and the implementation risks in Francophone, West Africa. So obviously we move on to some degree by the 20 million tons a year at Sukari and the open pit. We've got a very experienced operational team, very experienced management supply-chain team and the rejection predominantly is [indiscernible]. This is Francophone, West Africa have zone rules. So we've got lots of operational experience in losses moving this equipment around those with other recognized establishment of a new projects in the rural area. It affects both countries well. So I think we'll look at it operationally. We look at it from an implementation perspective when we look at it from a financing perspective as part of the overall financing workstream in H2 and then we'll make a decision as part of that in the round as well. So it is a number of aspects that we'll consider when we look at either even though reminding all rail contract, mining for that as well. So that'll flow through the second half of this year. And maybe I'll pass to Ross around sort of as Julie said when we pull gold versus when we sell gold and then when we have cut off points in terms of calendar dates and how that all doesn't line up perfectly from time to time which again confuses the issue somewhat unfortunately. But ounces are ounces and they get sold and we get the dollars in due course. Ross?
Ross Jerrard: Thanks, Martin. Gets that [indiscernible] I guess the outlook in terms of where we said we had an abnormally large differential between gold poured and sold as you've seen for the half. And outlook for the year, we – you know that the timing of that and we manage that towards the year end in terms of where those sets and calendar dates but basically any demands that a port and stay within that. And then the gold room they are still produced ounces but not sold its only sold when the carrier comes and picks up that bullion and moves all sized. So that differential is even private -- prior periods. You that's normally a lot less. It's up probably 7000 to 10000 ounces that we would traditionally see in terms of timing of those ounces. And again we've had a big differential just in terms of the trajectory of the run rate as we entered or exited the first half. So we're managing that. We think it's going to be a lot smaller in terms of quantum as we end up managing through to the end of December.
Martin Horgan: So I think the short answer Ross is that we expect that to -- I think we expect it to unwind of rates to get back to us rather than normal -- a more normalized. So by year end, by 31 December, which I know is Tuesday, which aligns with that -- easy with the Sunday, Sunday goal is that we expect that to effectively unwind overage to get back to a more normalized level of effectively where I believe the sales really are awaiting sales.
Ross Jerrard: That's right yes.
Laura Chan: Perfect. Thanks so much.
Operator: [Operator Instructions] And your question is from the line of Daniel Majo from UBS. Please go ahead.
Daniel Majo: Hi. Guys, can you hear me? Hi. Yeah, great. Thanks. So just to clarify a little bit on this accounting, so basically the delta because of the reclassification of ore and waste is the difference between your previous guidance for contracted deferred stripping of $91 million, going to $45 million. So it's $46 million difference, which is like $95 an ounce mid-point of your guidance range and that basically goes from CapEx to OpEx? That's right numbers.
Ross Jerrard: Hi Dan. Martin, you're happy for me to.
Martin Horgan: Yeah. I'm sorry, Ross. I was not trying to get myself off mute. Yes, I'll pass that one to you. Apologies, Ross.
Ross Jerrard: Dan your numbers are absolutely correct, but clarification though is it's not the contractor waste-strip. So our contract to waste-strip that's the non-sustaining and below the line. This is our sustaining and that our fleet would otherwise have needs. But you're right it's a $45 million number that hasn't gone through. That's remained in OpEx that should have been capitalized if it had to unfold as planned.
Daniel Majo: Got it. And that puts you at the top of the guidance range for cash operate? Yeah, the total cash costs but obviously it's a wash through when it comes to all-in sustaining. That's the key difference.
Ross Jerrard: Exactly. Exactly.
Daniel Majo: Yeah. Okay, perfect.
Ross Jerrard: Dan -- further confused slightly by the fact that these divided volumes sold rather than ounces produced. So, yeah, exactly.
Martin Horgan: Every half year we said that, to me it sounds great. We've got more oil. We've got more gold. We can put it on the dump leach and bring those ounces forward. That's a great result. And then Ross gets out the big spreadsheet and recap the numbers, but ultimately someday moving flights to planned spend. We've got all gold, I’m happy, let's move forward. And then Ross just have to navigate the joys of IFRS 20 and sort of reallocation of that.
Daniel Majo: Alright. Thanks. That was my main question.
Martin Horgan: Thanks, Dan.
Operator: And there are no further questions on the conference line. I will now hand over to Michael to address written questions submitted by the webcast page.
Michael Stoner: Thank you. So as it stands just one question on the webcast on wave sentiment purchasing new dump trucks, are we or have we not considered buying used trucks such as those from our departing mining contractor?
Martin Horgan: So we currently have a mine life out to the middle of the next decade. And, obviously, the open pit runs all the way through that period. And so I think when we look at that when we look at eight, nine 10-year operating life is that center that's that pretty much gives you a full lifecycle of a truck. So if we were to purchase, you used to call it used equipments you then very much quickly into potential sort of mid-life rebuilds and so on. You buy a new truck, the first of those two, three years until you're getting your hours on there is a lot more cost effective to basically run those truck before you start getting into an entire sort of rebuild period. And in fact if you look at lots of sort of mining contractors, open pit contract especially, they'll buy trucks run them through the first midyear midlife rebuilds and then dispose of that because once you start sort of building engines doing sort of chassis repairs, it gets more expensive as well. So when we round out future mine life ahead of us, when we round out or could trade off buying cheaper used equipment that might be sort of rebuild sooner in their sort of productive life and will they last at the end of the mine life, because the buying something new that sets the end of the mine life, Avenue has stayed about rebuilds for three to four years. Actually it's a lot more cost effective for us to buy that new equipment at this stage. And so it's a combination of purchase cost plus ongoing maintenance and rebuild costs and life of mine. When we balance all those out it's a game where we are today. We have five years of mine life left, four years of mine life left in that mine, but a different equation. But what lies ahead of us and those competing sort of debt is a circle of the opportunity to purchase cost and the maintenance costs it's better for us to buy new.
Michael Stoner: Thank you, martin. That's all from the webcast questions.
Martin Horgan: Thank you, Michael and thank you everybody else taking the time to listen in today. As I say a little bit of noise around the asset and the cash cost, but fundamentally good Q2 very happy where Sukari sit, puts us in great position for H2 that supported that growth initiatives of cash flow, good liquidity and balance sheet strength coming through, really excited about EDX, lots of interesting work going on. They're delighted that the robust country that it has done, I think set very fair for H2 and some pretty exciting yet momentum going forward, notwithstanding the joys of accounting procedures overlaying on top of that. But I think, look I happy with where we sit here today. Fairness looking forward to H2 further good news as we roll forward as well. So with that, I'd like to thank everybody for taking the time to listen in today. As ever, it does any sort of follow-up thoughts or questions that myself, Ross and Michael are available through the usual channels, do feel free to reach out and wish you all the very best for this Thursday and talk soon. Thanks everybody.